Operator: Good afternoon, and welcome to SoundThinking's Third Quarter 2024 Conference Call. My name is Shamali, and I will be your operator for today's call. Joining us are SoundThinking CEO, Ralph Clark; and CFO, Alan Stewart. Please note that certain information discussed on the call today will include forward-looking statements for our future events and SoundThinking's business strategy and future financial and operating performance. These forward-looking statements are only predictions and are subject to risks, uncertainties, and assumptions that are difficult to predict and may cause actual results to differ materially from those stated or implied by those statements. Certain of these risks and assumptions are discussed in the SoundThinking's SEC filings, including this registration statement on Form S-1. These forward-looking statements reflect management's beliefs, estimates, and predictions as of the date of this live broadcast, November 12, 2024, and SoundThinking undertakes no obligation to revise or update any forward-looking statements to reflect the events or circumstances after the date of this call. Finally, I would like to remind everyone that this call will be recorded and made available for replay via a link available in the Investor Relations section of the company's website at ir.soundthinking.com. With that, I'll now turn the call over to Ralph.
Ralph Clark: Good afternoon, everyone, and thank you for joining us today for SoundThinking's Q3 2024 earnings call. We appreciate you taking the time to join us today as we discuss our third quarter financial results, provide an update on our strategic and operational progress, and share our outlook for the remainder of the year. We're pleased to report a strong third quarter with revenues of $26.3 million, up 10% from the same period last year. For the year-to-date period, we reported $78.6 million representing an increase of 18% from the same period last year. The need for public safety technology solutions continues to be a compelling growth opportunity and we believe the SafetySmart platform is uniquely positioned. As the landscape of public safety technology continues to evolve, we are not just keeping pace but we are leading the charge. Following our recent strategic partnerships with Rekor Systems and the rollout of our co-branded PlateRanger ALPR solution, the SafetySmart platform now offers six data-driven tools that leverage AI and machine learning technologies to enhance law enforcement operations. In addition to PlateRanger, the SafetySmart platform includes ShotSpotter, which is our proven and market leading gunshot detection system that improves police response to gunfire incidents and saves lives; ResourceRouter, our patrol management system that streamlines patrol operations to improve officer productivity and engagement; CaseBuilder, our case management and investigative collaboration tool to help close cases; CrimeTracer the largest search engine platform for law enforcement that has over 1 billion criminal justice records to help accelerate investigations; and lastly, SafePointe, which is our discrete AI-based low friction weapons detection solution. The SafetySmart platform's unique value proposition lies in its ability to deliver a holistic unified client experience, offering a comprehensive suite of public safety solutions under one secure and scalable platform. We believe our SafetySmart platform strategy is gaining traction, empowering our law enforcement partners to deliver measurable, efficient, effective and equitable public safety outcomes in the communities they serve. Our flagship ShotSpotter offering went live in four new cities in one university as well as expanded in eight current cities in Q3. We also booked or went live with over 10 new customers for our other SafetySmart platform solutions. Our ongoing market penetration is a testament to the effectiveness and reliability of our solutions in enhancing public safety. Domestically, we're on track to exceed 100 new ShotSpotter go-live miles this year, including five new cities and nine expansion projects in our current staff project pipeline expected to go-live in Q4 of this year. ResourceRouter is also performing above expectations and resonating in the market. We currently have five ResourceRouter implementations in the queue for Q4 go-lives. We're very pleased with the strong demand we see for ResourceRouter, which answers the challenges many agencies have around structural staffing shortages. Our strategic partnership with Rekor to integrate vehicle license plate recognition solutions into our SafetySmart platform is also another highlight of the quarter and the year following the launch of PlateRanger in September 2024. The PlateRanger solution targets a $2.5 billion TAM that is growing at 15% CAGR. It is an attractive opportunity and while it's still in the early days, we're excited by the growing strength of the pipeline build and we look forward to sharing more updates on operational traction once we are fully underway. CaseBuilder, our comprehensive case management solution, grew subscription-based revenue approximately 1,000% for the third quarter year-over-year. We began recognizing $1 million of maintenance ARR earlier in the quarter with the delivery of the first major application or use case of PREA, the Prison Rape Elimination Act to be followed by use of force in trial divisions and then eight other divisions within the DOC. The New York DOC leadership recently testified at a City Council hearing on October 31 on the successful PREA go-live and their expectations that its implementation will help improve compliance and operational efficiencies on these types of corrections investigations. As expected, we also went live with Orleans Parish in September and continue to have a healthy pipeline of new CaseBuilder opportunities headed into 2025. Our very successful deployment of CaseBuilder in one of California Department of Justice divisions is expected to create further opportunities for us within the agency. CrimeTracer, our investigative search engine was successfully deployed with six new customers adding to the 250 plus customers currently leveraging CrimeTracer. We expect to continue to make significant investments to maintain and improve the performance of our solutions. To that end, during the third quarter, we announced the availability of a major upgrade to our advanced weapons detection system called SafePointe next-gen, which reflects our conviction and commitment to innovation in meeting the increasingly complex security needs of our customers. We're actively migrating our current customer install base to the next-gen platform and securing new customers who have been waiting for next-gen's new features along with SOC2 and HIPAA compliance. On the operational front, we continue to make significant strides highlighted by the recently announced three-year agreement with the Ministry of Interior of Uruguay to expand ShotSpotter's gunshot detection coverage in Montevideo by an additional 12 square kilometers, which represents a doubling of its current footprint in the capital city. We have two major contract renewals in process with NYPD including ShotSpotter, as well as the maintenance and professional services work performed by our technologic division that provides critical ongoing enhancements and support of NYPD's on-premises ERP system. Both contracts have successfully made their way through NYPD's Information Technology Bureau, or ITB, onto New York City's Office of the Management and Budget OMB and late last week, we learned that the three-year ShotSpotter renewal has moved on to final approval and it sits with the New York City Comptroller's Office. Given the criticality of these solutions and the strong support it has from NYPD leadership in the Mayor's Office, we're confident that both contracts will be executed by year-end. As a reminder, our ShotSpotter service in Chicago operationally concluded in late September with a formal contract termination that will occur later this month. Comprehensive civic debates between the Mayor and the City Council on extending the service beyond this month are ongoing in entering the City's overall 2025 budget negotiation process. There continues to be strong support from a veto proof majority coalition of the City Council residents, where polling data revealed that 70% of all Chicago voters strongly support or support Chicago's continuing use of ShotSpotter, as well as local press and the business community that have recently organized themselves to raise over $2.5 million to help defray the cost of ShotSpotter. In addition, a very strong positive came in from the recent University of Chicago Crime Lab study that statistically estimated that Chicago ShotSpotter deployment saves approximately 85 lives per year. In the meantime, the city has published an RFI due later this month, intending to re-imagine community safety by soliciting bids for "first responder technology solutions". In part, the RFI details requirements such as the ability to detect, locate, and alert on gunfire within 60 seconds with exact positional data. In addition, the RFI also calls for the alert to include a forensic timestamp recorded snippet of the gunfire incident. Coincidentally, many of these requirements are among the same capabilities that ShotSpotter has operationally demonstrated in Chicago since 2012. In terms of market position, our strategic initiatives and product launches have strengthened our standing. We're leveraging our technological expertise and market insights to navigate the dynamic landscape and seize on new growth opportunities. Our strategic partnerships and product innovations are the driving force behind our operational excellence, which has resulted in another world class Net Promoter Score of 66%, moving up 2 percentage points from last year's 64%. As a reminder, a score of 60 or higher is considered world class in any industry. It is notable since 2020 to year-to-date, the company has added over 85 new ShotSpotter customers, executed 50 plus expansions, and processed over 660 annualized renewals compared to only 15 non-renewals, which effectively averages to 139 annualized renewals per year versus three non-renewals per year. As a reminder, Chicago's non-renewal has already been factored into our 2025 budget and 2024 guidance, which we are maintaining at $104 million to $106 million in revenue, with 18% to 20% adjusted EBITDA margin. We are confident in our guidance and believe we are well-positioned to drive diversified and profitable growth into 2025 and beyond. In summary, our strategic initiatives, product expansions, and ALPR reseller partnerships have positioned us for continued growth and operational efficiency. We're extremely excited about the opportunities ahead and remain committed to delivering innovative solutions that enhance public safety and community trust. I want to thank you for your time and continued support. I'll now turn the call over to Alan to discuss our financial results for the quarter and guidance for the year.
Alan Stewart: Thank you, Ralph. Good afternoon, everyone. We're pleased with our third quarter results. Our strong financial performance reflects the success of our ongoing strategic initiatives, operational efficiency measures, and our commitment to delivering value to our shareholders. The third quarter revenues were $26.3 million, representing a 10% increase of the $24 million in the third quarter of 2023. Revenues were driven by new customers, expansion of existing customer coverage areas, additional cross-selling including from Newport News, which added our CrimeTracer and CaseBuilder solutions to complement already implemented ShotSpotter and ResourceRouter solutions. Bookings of all of our SafetySmart platform solutions, some of which are multi-year contracts are also growing healthily. Gross profit for the third quarter of 2024 was $15.2 million or 58% of revenue versus $13.8 million or 57% of revenue for the prior year period. We expect gross margins to be higher in Q4 ending the year near the 60% that we have indicated in previous quarters. Adjusted EBITDA was up approximately 5% from the third quarter of last year to $4.5 million, up from $4.3 million. Our adjusted EBITDA increase was related to revenue growth in all solutions. As a reminder, adjusted EBITDA, a non-GAAP financial measure is calculated by taking our GAAP net income or loss and adjusting out interest income, income taxes, depreciation, amortization and impairment, restructuring costs and losses including on the related fixed asset disposals, stock-based compensation expenses and acquisition-related expenses including adjustments to our contingent consideration obligations. Turning to our expenses. Our operating expenses for the third quarter were $16.3 million or 62% of revenues versus $15.2 million or 64% of revenues in the third quarter of 2023. Third quarter 2023 had an approximately $100,000 adjustment for contingent consideration related to our forensic logic acquisition. Breaking down our expenses, sales and marketing expense for the third quarter were $7.2 million or 27% of total revenue compared to $6.3 million or 26% of total revenue for the prior year period. Our R&D expenses for the third quarter were $3.4 million or 13% of total revenue compared to $3.2 million or 13% of total revenue in line with the prior year period. G&A expenses for the quarter were $5.7 million or 22% of total revenue, compared to $5.7 million or 24% of total revenue for the prior year period. In the third quarter of last year, our G&A expenses included an approximately $100,000 reduction related to the change in the fair value of the contingent consideration relates to the Forensic Logic earnout expectations. We expect our G&A expenses to grow less than our revenue on a percentage basis as our company grows. Our GAAP net loss was approximately $1.4 million or loss of $0.11 per basic and diluted shares for the quarter based on 12.7 million basic and diluted weighted average shares outstanding. This compares to a net loss of $1.9 million, or a loss of $0.15 per basic and diluted shares based on 12.5 million basic and diluted weighted average shares outstanding, respectively, for the prior year period. Deferred revenue at the end of the quarter was largely in line at $49.5 million, compared to $49.4 million at the end of Q2 of 2024. We ended the quarter with $15.3 million in cash and cash equivalents versus $9.8 million at the end of the second quarter of 2024. The cash balance is higher than the end of the second quarter even after we repurchased 284,790 of our shares at an average price of $14 for approximately $4 million. Currently, we have approximately $21 million available on our line of credit as we have only approximately $4 million in debt outstanding all on our line of credit. Now turning to guidance. For the full year 2024, we're maintaining our full year revenue guidance range at $104 million to $106 million. We are expecting that Q4 revenues will be over $26 million even after including the loss of approximately $1.2 million from the loss of the Chicago contract in Q4, which is expected to end on November 22. We are maintaining our full year 2024 adjusted EBITDA margin guidance at 18% to 20%. For our 2025 guidance, even with a loss of approximately $8.5 million from the loss of the Chicago contract, we're expecting our revenue to increase to a range of $107 million to $109 million. We are also expecting our adjusted EBITDA to increase to a range of 19% to 21%. Overall, we are pleased with the progress we have made on our strategic initiatives and the performance of the business. With that, we're now happy to open the call for questions. Operator, will you please open the call for Q&A?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Richard Baldry with ROTH Capital. Please proceed with your question.
Richard Baldry: Thanks. The RFI is fairly specific on the Chicago side. I'm kind of curious, if you run into an RFI of that specificity, have any other vendors never sort of shown up able to compete with those characteristics? Or do you feel fairly unique in that group?
Ralph Clark: Yes. So we've had a chance to dissect the RFI, and it does look quite familiar to us. We've seen similar RFIs or RFPs. I think in one particular case, there is RFP from the agency in New Jersey that we successfully bid on and won twice. So we're pretty encouraged by the list of requirements that were listed in that RFI, but do understand that this is an RFI, not RFP. So they're basically trying to get input on ideas. And so that's where that whole process is in Chicago.
Richard Baldry: Got it. And could you drill into sort of SafePointe for a minute on you've got a major upgrade now out in the market. How is the pipeline looking or early close deals? Any feedback on the upgrade to think about that one heading out of the year and into 2025?
Ralph Clark: Yes. So the pipeline looks very strong. It continues to grow and build. I think people are really keen on the next-gen platform and additional features and capabilities we're providing to contactless weapons detection. So we're pretty excited. And there's a number of deals that we're looking to close in Q4 going into 2025, with the wind at our back with respect to SafePointe. So we're pretty pleased with that business and how it's developing.
Richard Baldry: And sort of building on that, when you think about your 2025 guidance, how much change sort of year-to-year does that assume for go-lives for either ShotSpotter, so your legacy offering for gunshot detection and SafePointe for weapons detection?
Alan Stewart: Yes. So this is Alan, and Ralph you're correct. We were still expecting our ShotSpotter to be around 100 miles plus, might be higher than that as well once we add in some of the international opportunities that we have. So that's on the ShotSpotter side. On the SafePointe side, to be clear, as Ralph mentioned, the pipeline is strong there. And just to give you some stats that I think are really important. We added, in terms of bookings, those -- some are multi-year, but about $0.5 million in Q1, north of that in Q2, over $1 million in Q3 and already over that in Q4. That's for SafePointe alone. So when we look at guidance, it's not just ShotSpotter, which is going to continue to grow, but the other solutions that we have are adding significant bookings across the Board and helping our diversification help our revenue grow.
Richard Baldry: And last for me. On the SafePointe side, as you see that ramp, what would be any friction to growth for that segment? Was -- are most of the components are common off-the-shelf of they're custom things that could challenge growth to something larger contracts were to come through sort of earlier than you expected?
Ralph Clark: Yes. So this is Ralph. We are looking at some potential supply constraints that we think will open up in the beginning of 2025. Part of the next-gen SafePointe solution includes some AI work being done at the edge. There's a box at the edge that's connected to a 3D camera that is -- has some little bit of supply constraint around the NVIDIA chipset. So we're currently getting those kind of shipped in a fairly sufficient quantity to support our ramp of next-gen go-lives for 2024 for the remainder of this year. But as that ramps up, we're going to have to see that supply significantly increase to kind of meet the projections that we have in mind for SafePointe. And we think we'll be fine there. But we are looking at it fairly closely.
Operator: Thank you. Our next question comes from the line of Eric Martinuzzi with Lake Street. Please proceed with your question.
Eric Martinuzzi: Yes. I just wanted to size up the Chicago impact on 2024. I know you said $8.5 million annualized. But based on the 2024 guide, what is the actual expected revenue contribution in 2024?
Alan Stewart: Yes. So this is Alan. The actual revenue in 2024 is about $9.2 million. So we -- it's definitely less than the $8.5 million because we did have some revenue that we recognized before we got the $8.5 million contract in January and February of this year.
Eric Martinuzzi: Okay. And one of the things that you talked about last quarter was sales cycle elongation, just really due to more education and constituent deliberation that was impacting the pipeline conversion, specifically on ShotSpotter. Any further color you can give us there? Has that elongation flexed at all? Or is it pretty much it was captured in the Q2 comments?
Ralph Clark: Yes, this is Ralph. I think it stabilized. It's pretty much where it was in Q2. We're looking at kind of 12 months to 18 months sales cycles still with respect to ShotSpotter. But offsetting that, which is kind of interesting, we're seeing much more closed sales cycles for SafePointe kind of given it's a different buying center on the commercial security side versus the kind of public safety public government side. So we're pretty encouraged by the mix of sales cycles we see across the portfolio with things happening a lot quicker, I would say, on the SafePointe side and kind of still these kind of 12-month to 18-month sales cycles on things like ShotSpotter. And now we put kind of PlateRanger or expectation as PlateRanger is going to be something kind of in the middle because it is a defined category that has defined budget dollars associated with it. I think people pretty much understand the ALPR space pretty well.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Trevor Walsh with Citizens JMP. Please proceed with you question.
Trevor Walsh: Great. Hi team, thanks for taking my questions. Just piggybacking a little bit off the SafePointe and the PlateRanger commentary from last couple of questions. Ralph and/or Alan, could you just give us a sense of sort of -- I understand the pipeline is strong, but could you maybe give us a sense of kind of where the rev rec as those deals sort of flow, in kind of what that looks like just from a timing perspective? Is it going to take some time to deploy? If it's similar to kind of what you see similar to the ShotSpotter type of deals? Or I guess, how in the context of the 2025 guide, you've seen those revenues kind of flowing in once you actually do win those deals?
Alan Stewart: Yes. So this is Alan. Go ahead, Ralph.
Ralph Clark: No, no. Go ahead. Sorry, you go ahead.
Alan Stewart: Okay. So the short answer is normally with like a ShotSpotter, it takes about 3 months to 4 months after contract is signed until we go-live. We're finding a much shorter cycle for that for SafePointe. When we get a contract signed, provided the customers ready to go, we can get things as low as six weeks to seven weeks and go-live. So that's actually when we get the bookings, and as I mentioned, we've already gotten over $4 million in bookings in SafePointe this year. Those are going to come in and help achieve the revenue a little faster than what a ShotSpotter would.
Trevor Walsh: Great. Thanks. That's helpful. And then also around that 2025 preliminary guide, looked nice, kind of above expectation around the EBITDA side of the house. Can you just maybe give us a sense from kind of where you're seeing some of that leverage kind of heading into next year as we think about modeling kind of going forward?
Alan Stewart: Yes. Sure. This is Alan again. So there are several things that are going on. Number one, as we've said in other quarters, some of the last couple of acquisitions we did, we're still investing. The new technology acquisitions, we're still investing. And as the revenue grows with them, the actual profitability grows as well. So we're starting to see that. If you just talk about four of them, not even counting PlateRanger having almost $7 million in bookings already, helps us grow each one of those. And that $7 million is what we've had in 2024. We're going to have additional in 2025. So that's going to help. We also had some reductions and some costs that were appropriate, we thought, actually quite small, but that's going to add a little bit as well. So revenue is going to grow, costs and actual expenses are going to go down a little bit in those categories. That's how the adjusted EBITDA is going to improve.
Trevor Walsh: Great. Thanks, Alan. I appreciate it. And maybe one last one for me, Ralph, for you. You guys put out a press release last month, maybe a couple of months ago now actually, around a study you did in conjunction with the City of Oakland around just product efficacy. Just wondering kind of is that kind of part of the -- your kind of maybe new or revised PR playbook of just kind of getting ahead of where you see potential kind of more political city type of questioning of the tool or some other purpose of that study being put out there? Just curious kind of what the, I guess, the overall strategic kind of rationale was for doing that. Thanks.
Ralph Clark: Yes. Thank you very much for that question. It's a great question. Yes. So we're trying to be a lot more intentional around helping our law enforcement agency partners tell their story about the efficacy and value that the acoustic gunshot detection technology delivered by ShotSpotter provides them as a first responder agency getting to the scenes of gun crime. I think fundamentally, it's really important that people understand that 80% to 90% of criminal gunfire goes unreported. And if it wasn't for an acoustic gunshot detection technology like ShotSpotter, these incidents would be -- would have no response. And so we're enabling a quick, fast response that are getting first responders to these scenes. They're finding victims and they're able to get victims to trauma care centers to save their lives or recovering evidence. They're seeing improved community engagement because now these communities see police responding very quickly and precisely to these events. And it gets lost in the shuffle sometimes. So what we're trying to do with our agency partners is helping them kind of get in front of those City Council meetings by kind of gathering those -- gathering that data and developing the narrative and story around the value and why people should be paying attention to it. And it worked very well for us in Oakland. We're really proud of the fact that we got almost unanimous approval from the City Council and Oakland is a fairly progressive city. There's a little bit of noise coming from, I would say, large -- a small group of activists, small but loud group of activists that were trying to challenge ShotSpotter. But at the end of the day, we were able to get those facts out there. The City Council, we think, made the appropriate decision with only one dissenting vote in a place like Oakland. So that's hopefully, a good harbinger of things to come within other places as well, getting that renewal across the line with that playbook of helping agencies tell their story better.
Operator: Thank you. We have reached the end of the question-and-answer session. And I'll now turn the call back over to Ralph Clark for closing comments.
Ralph Clark: Thank you to everyone who joined us today. And thank you to my SoundThinking colleagues, clients and partners for their support. In summary, we are pleased with our quarter's performance and excited for the opportunities heading into 2025. We have an outstanding company and we'll continue to be focused on maximizing shareholder value. Thank you all for your insightful questions and for joining us today on this earnings call. We appreciate your continued interest and investment in SoundThinking. We look forward to sharing our progress with you in the coming quarters. Thank you.
Operator: And this concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.